Duncan Gibbs: Thank you, Mel, and welcome, everybody, to the December 2024 quarterly analyst call. In the presentation today, we'll, of course, be referring to the quarterly results slides that you can view on the live webcast, our website or the ASX release, as well as the usual details of the quarterly performance. We'll be covering other areas of recent news flow, including the recent announcement on Gilmour, our annual mineral resource and ore reserve update, production guidance and outlook and some of the plans for upscale exploration and other exploration targeting Gruyere underground and elsewhere. On the webcast and the phone call, you'll be able to submit questions for us to address at the end of this call. And on today's call, we have live with me John Mullumby, our CFO; Jeff Dang, who recently promoted to General Manager of Projects and Technical; Julie Jones, of course, our General Counsel and Joint Company Secretary; and of course, Keely Woodward, our Joint Company Secretary. I'll take the opportunity to note that Duncan Hughes who's led Investor Relations over the last 7 years is not with us today, and he's taking up a promotional opportunity elsewhere in the sector. Of course, we wish Duncan all the best with that new opportunity. I'm pleased to advise that Brian Massey will be joining Gold Road to lead IR from late March. Many of you may know Brian. He's a fairly seasoned Investor Relations professional with extensive experience, including in the ASX 20 spanning oil, gas and resources companies. In the interim, I'll draw your attention to the contact details that have been updated and provided on the bottom footer of recent ASX announcements and ask that you direct any questions outside of today's meeting through those contact details and then one of the members of the executive team can get back to you. Moving into the presentation and starting with just a quick overview before we dive into all the details. Of course, Gruyere operated safely through the quarter. We had one finger crush lost time injury during the quarter, and there were no Gold Road lost time injuries. The gold production increased quarter-on-quarter to a record 91,631 ounces at a very good all-in sustaining cost of $1,811 per ounce. The Gruyere operating cash flow increased to a record $142 million, and Gold Road free cash flow lifted to a record $76 million. Cash and equivalents ended the quarter at a strong $174 million, of course, aided by the record spot gold prices. As previously guided, December quarter saw continuing improvement of the operations continue to ramp up the mining rates, and we benefit from full access to the ore body at the bottom of the pit. We clearly turned the corner at Gruyere, and we're well set for a much stronger 2025. Our listed investments grew in value and today are valued in excess of $820 million and unrealized gain, of course, in excess of $400 million. The value of those investments, of course, benefited from Northern Star's proposal in relation to De Grey Mining, where we hold an interest of 17.3%. Early this quarter, we announced the Gilmour pre-feasibility study results, including a maiden ore reserve. We think the study demonstrates the substantial value generated by our exploration efforts to date at Yamarna with the project having an NPV of $354 million, at a gold price of $4,300 an ounce, which is where it was about the time we were drafting that announcement. And it's, of course, wonderful to wake up this morning and see a new record gold price of $4,420, up another $60 overnight. The quarter, of course, also saw the conclusion of a major review of underground mining opportunities at Gruyere with that work done by the joint venture. And that analysis gives us the confidence to start a substantial underground drilling program at Gruyere, and I remain confident that Gruyere will ultimately have a mine life that takes us a long time after 2032. On the regional exploration front, we completed drilling at Mallina and commenced drilling at Balter and the Greenvale projects. Unfortunately, both of those curtailed by rain late in the year. And we also entered into a new exploration joint venture with Iceni late in the quarter, and I'll cover a bit more of those later in the presentation. Looking into the December quarter in a bit more detail now. All of this, of course, really been pre-released early in the quarter. So, total material movement in terms, including waste and ore increased further quarter-on-quarter, and we're continuing with that kind of trend. Mine head grades remain really as expected at about 1.25, and have been fairly consistent for the year at around about the reserve grade. Mine ore increased substantially, of course, quarter-on-quarter, allowed us to both fill the mill and build stockpile inventories. Ore milled for the quarter increased to 2.4 million tonnes and the head grade lifted by about 20%, again, as the operation benefited from the full availability of ore from the pit. This allowed us to optimize and, of course, deliver higher grade, which is really the key driver of the lift in production. The lift in head grade, of course, as well as really continued efficient operation of the plant, good recoveries resulting in record gold production of almost 92,000 ounces for the quarter. All-in sustaining costs were substantially lower at $1,811 an ounce, driven mainly by the significant increase in produced ounces. The benefits, of course, the higher production balance again somewhat by the increasing material movement at the mine, which is what we communicated quite extensively now is really about securing future production levels from Gruyere. Attributable gold sales on the back of that, of course, lifted to 47,745 ounces, a record unhedged gold sale price of $4,093 per ounce. Gold and bullion at the end of the quarter was 1,782 ounces or approximately $7.6 million in value at the time we put things together. Corporate all-in costs are simply all the cost divided by the ounces fell to $2,266 really as expected off the better levels of production. We are in the process of finding an insurance claim to recover some of the direct costs associated with the major rain event that we had last year, and we're optimistic that, that claim will be resolved in the March quarter. As this next slide illustrates, we're certainly seeing a good trend over recent quarters, certainly pointing in the right direction. A key, of course, delivering more ounces has been mining more ounces. And as we've communicated, this was really a successful outcome of the December quarter and has been the key focus that we've really had in the second half of the year. Despite the record quarter, we fell just shy of our '24 guidance with relatively minor issues, including about a COVID in the mining team and quite an unusual level of thunderstorm activities, which, of course, is seasonal at this time of the year, which disrupted mining and the sequence of mining, and unfortunately, also resulted in a site-wide blackout. So, we lost basically a few odds and in days and hours with all of that, but we didn't kind of project However, clearly, we've now turned the corner at Gruyere, we've got really full access to the ore body, and that's really the key thing to drive both this year's guidance and beyond. And so, we're well set up as the way we kind of see it to deliver increased production levels with this year's 2025 guidance being set at 325,000 ounces to 355,000 ounces. Attributable all-in sustaining cost this year is guided at $2,400 to $2,600, which is obviously an increase from where we have been. Of course, that wraps in things like the normal inflationary adjustments, higher royalties as a result of the higher gold price, although with today's gold price, we may still have under that. Obviously, the increased stripping ratio to support future production at Gruyere is really the major increase. Really associated that with that, we do have some additional one-off capital items that includes an expansion of the village and some of the mining infrastructure, and starting to set up for Golden Highway and the like. So, we see that this year's sustaining costs will be a bit higher than sort of longer-term trend. I do note that we include all those costs within our all-in sustaining costs rather than bite them off as being growth capital, which is what you more typically see across the sector. Other areas of capital, fairly routine Stage 5 Tailings Dam, which has basically commenced. That typically will take around about 9 months of the year to complete. So, in addition to this year's guidance, we've put out a 3-year production outlook. And really, we see Gruyere getting back to track, what we've kind of communicated in the past before we had the challenges of 2024 where the operation gets up around the sort of 350,000 ounces, which is obviously a significant increase from where we've been this year, which really rain disrupted and affected by availability of ore within the mine. And as we see, we're reasonably well set up now to get back to what Gruyere is capable of delivering. If we move to the next slide, we've put out a similar slide to this in the last quarter to try and help the market understand the ore availability kind of position. So, the ore mining really for this year comes from the Stage 4 pit area, and we're very well positioned to fill the mill really from that mining area this year. The future year is really about stripping from waste 5 being the next major ore source. And that will be the key operational focus to block in the next few years. And then beyond that, of course, we sequence the remaining pit stages. So, strip ratio is not linked directly to immediate performance, but every big open pit is a waste mine to free up ore. So, the strip ratio really over the outlook period as we communicated in our guidance is going to sit around about 6.1:1 over the next kind of 3 years. And then strip ratios drop off thereafter. So, the life of mine strip ratio is about 4.5:1, and we'll start to obviously demobilize fleet and what have you in the later years of the open pit life. If we look to the next slide, as well as looking at the pit in section, this one, we've provided similar graphics in the past. And ultimately, we're mining a 7-stage pit design. There's been some fine-tuning and updates to this overall sort of 7 pit stage design, and we may see some slight changes in a few of the numbers in there, but it takes the open pit life out to 2032. And as announced in our annual resource and reserve statement, we've seen a good increase in mineral resources now total 4.8 million ounces, about a 6% increase. That's largely due to optimization of the open pit resource with an expanded shell, which, of course, somewhat offsets the underground mineral resource that Gold Road reports. Gold Road's attributable ore reserves have increased to 43 million tonnes at 1.39 grams for just under 2 million ounces or about a 5% increase. And that, of course, largely arises from the addition of Gold Road's 100% owned-Gilmour deposit where the ore reserve there really offsets the mining depletion of the last year at Gruyere. Okay. So, I'll now hand over to John, and he can provide a bit of a financial summary, and I'll come back at the end with some general concluding comments.
John Mullumby: Thanks, Duncan, and good morning, everyone. On the screen and the slide here is the usual waterfall providing a breakdown of our cash flows for the December quarter. The record operating result that Duncan has just walked you through translated into record gold sales and revenue of $195 million and provided Gold Road with $142 million of operating cash flows from Gruyere. These results represent 62% and 60%, respectively, increases on the prior quarter, which is a clear demonstration of the strong financial performance and cash flows from Gruyere we expect to see persist through 2025. As you can see on the right-hand side of the chart, we finished the quarter with $174 million of cash and equivalents on hand, which includes $7.5 million of dorÃ© in unsold bullion. This cash position for the quarter also reflects one-off investments made of $1.6 million to exercise unlisted options in Yandal Resources and a $3 million placement in Iceni Gold, which form part of our exploration farm-in agreement on Iceni's buyer prospect. When we adjust for these items and for the movements in cash equivalents quarter-on-quarter, the free cash flow result was a record of $76.2 million for Gold Road. And lastly, on to our balance sheet, where we have closed off the year in a very healthy financial position as we remain debt-free. Have close to $1 billion of liquid assets on hand, which includes our cash, cash equivalents, and our listed investments, which I think Duncan has already said, were valued at over $820 million as of today. Thanks. I'll now hand you over to Jeff Dang to run you through the significant progress made in our ongoing studies at Yamarna and Gruyere.
Jeff Dang: Thanks, John, and good morning, everyone. Once again, this quarter has seen strong results returned from drilling below the Gruyere pit and the completion of a comprehensive analysis into underground mining at Gruyere below the Stage 7 pit. The results provide the JV sufficient confidence to embark on a more substantial drilling program in 2025 to test the resource to depth of around 1.2 kilometers below surface. Subsequent to the quarter end, we announced a very positive PFS and Maiden Ore Reserve for Gilmour, which helps demonstrate the value in our exploration efforts at Yamarna. We have made good progress at our Australian-wide Greenfields exploration projects with drilling completed at Mallina. Drilling commenced at Balter and Greenvale, which continued well into December until rain suspended activities. Late last year, we signed a farm-in agreement with Iceni Gold at the Gayer project, with drilling on track to commence in the March quarter. We anticipate releasing a more comprehensive exploration update later this quarter when all assay results are returned and the discovery team has determined the next phase of work. Drilling continues at Gruyere and is targeting below the current ore reserve pit. Assay results received during the quarter are on the slide in yellow, and we were largely in line with expectations. A preliminary underground review was completed in 2024, providing confidence for the Gruyere JV partners to commence deep drilling to assess the potential for future underground that could extend the mine life well beyond 2032. Gruyere will commence a 60-kilometer diamond drilling program in early 2025 that is designed to test the ore body at a nominal depth of 1.2 kilometers below the surface. The drilling will prioritize infilling the top 400 meters of the area shown here in a long section with the aim of converting inferred resources to a more confident indicated category. The drilling budget is at $15 million, 50% of which is attributable to Gold Road to be spent over 2025. Commencing this significant drilling program now will position us with ample time to make decisions on subsequent detailed studies and potential early installation of underground infrastructure. The sooner we start this, the better position we are to ensure a smooth transition beyond 2032. Gold Road is continuing with the development of its 100% owned Yamarna assets as part of the Yamarna Mine Readiness Project. Gilmour pre-feasibility study presented an after-tax NPV of $231 million at a $3,500 per ounce gold price and $354 million at a gold price of $4,300 per ounce. Project pretax cash flow is estimated at $377 million at $3,500 per ounce and $569 million at a $4,300 per ounce gold price assumption. PFS delivers a mine life of 5 years, averaging just above 50,000 ounces per annum and an average all-in-sustaining cost of $2,004 per ounce from underground and open pit sources. PFS is supported by a Maiden Ore Reserve of 1.5 million tonnes at 4.1 grams a tonne for 192,000 ounces. The ore body remains open at depth, and we anticipate further drilling to test these opportunities in 2025. The next steps with Gilmour are permitting and native title agreements we were viewed to be shovel-ready in late 2026. Thank you, and I will now hand it back to Duncan Gibbs.
Duncan Gibbs: Yes. Thanks, Jeff. In summary, just to close out the presentation, we obviously had a great quarter 4 after what has been a very challenging 2024 for us at Gold Road with the rain and what have you situation up at the Gruyere operations. I think with the record quarterly result have really turned the corner. And of course, we're pretty well positioned now for a much stronger 2025 performance as we've outlined in our production guidance. The strong gold price and strong performance of Gruyere in the last quarter have clearly contributed to a record cash build. And I guess increasingly, we see a focus on our kind of organic growth front. We've got multiple areas of encouragement, including the JV now really moving forward with deep drilling at Gruyere. And I think over time, we're going to see that bring together the growth in resources and reserves, and ultimately extend Gruyere into a very long-term mining operation. The main ore reserves at Yamarna really to underpin the benefits of our exploration activity. Clearly, we've created value from exploration at Yamarna with that starting to come together. Clearly, that deposit is still open at depth, and we'd expect over the passage of time to see further growth on that resource. Of course, we've also recently done the JV deal with Iceni. Of course, that's a very early stage, but we see that as quite a promising exploration property, as well as the JV with Iceni, we did a small placement into them. And ultimately, we have options that could take us up to about a 15% position in Iceni. Of course, we've got a large strategic investment in De Grey with 17.3% in there. And clearly with the Northern Star situation there, we've got options where we can realize and create value for Gold Road shareholders on the kind of inorganic growth front. Of course, then capping all of that off, Gold Road, of course, maintains a very strong balance sheet. It's debt-free, unhedged. So, we're fully exposed to the ramp-up in the gold price. And as I noted in my early comments, it took another big run overnight. Okay. So that brings the formal part of our presentation to a close. Happy to hand it back to Mel, and we can take some questions.
Operator: [Operator Instructions]. Your first phone question comes from Levi Spry with UBS.
Levi Spry: Could we come back to the end please.
Operator: Your next question comes from Meredith Schwarz with Bank of America.
Meredith Schwarz: Could give a million breakdown on the Tailings Dam lift and how many lifts are remaining on that facility to take production out to 2032? And then the second question, just relating to Golden Highway. Can you call out any specific CapEx items that are required in FY '26 to get it to the mining stage in around 2027? Just trying to think what CapEx items are coming through post FY '25 and what that impact will have on the all-in sustaining costs?
Duncan Gibbs: Yes. Look, I'll answer what I got of that. I may have missed part of your question. Tailings Dam, look, we haven't given a break detailed breakdown of the Sussex, but the Tailings Dam order of magnitude is about $40 million, and that's pretty much a recurring kind of cost, of course, roughly, we start each new raise about every 18 months or so. We've got a 6-stage design that really covers the reserve. We probably need to take that out to 7 stages to cover satellite kind of deposits. And beyond that for the underground, we'll have to look at that as part of looking at the underground opportunity. Golden Highway, look, really, all the more extensive work there has been done. The cost there is maybe a couple of million bucks. I don't have the exact numbers in front of me, but really focused on permitting and approvals kind of work. And on Golden Highway, the same kind of goes for Gilmour. I mean, we are aiming to get these deposits, so they're ready to mine, but if mining delivers or out delivers at Gruyere, then we've got the optionality to do those satellite resources later. What we're trying to do with the JV is make sure that we backstop the mine plan with other options so that we don't kind of get into the situation that we've had in the last year or so with limited ore supplies. Obviously, mining performance total volumes are a key driver of that, but there's also things that are kind of beyond normal management control, which are geotechnical events or rain events or whatever it might be that hinders the availability of ore. So, our motivation around a lot of pushing those projects forward is insurance policy.
Meredith Schwarz: Just on that, so, while Golden Highway is ready for mining in 2027, there's no guarantee that, that will come through there, and it will just literally fit in around how the JV sees the production profile. And it will come in if needed, but it could be pushed out if Gruyere is performing. Is that how you're looking at it?
Duncan Gibbs: We want to keep that optionality. There's an obvious strategy of bringing Golden Highway online as the mining volumes start to drop off after the next 3-year outlook as we've kind of flagged there, and then we can redeploy some of the mining fleet and people across to that new mining front. That obviously saves us costs and optimizes capital. So, from that point of view, that's probably the optimal way of looking at it, but we want to have the optionality to be able to turn around fairly quickly if we need to do so.
Meredith Schwarz: Okay. And just one more question, if I could. Looking at the process plant, so you've given guidance around that 9.5 million tonnes per annum in FY '25. I'm assuming that's in part due to the shutdown in the second half, can you give some guidance around what quarter that shutdown is expected and how long it's going to take? And then secondly, once that conveyor upgrade has occurred, is there anything else that's limiting that plant to get it to that 10 million tonnes per annum sort of target rate?
Duncan Gibbs: Yes. So, look, we've always flagged 10 as a target. So, we clearly still got a bit to do there. We're not sitting there at the moment. We did about 2.4 million last quarter. Exact timing, we're kind of aiming for late quarter 3, but I won't be surprised if that moves around a bit just depending on where rates within the mill and when we do relines and what have you, which is why at this stage, we've said second half. And we're going to need about an extra week of plant downtime to get all that conveyor and other work. There's some other upgrade works that we put into that window around the 4 mill. And so that's the rough timing of that. And of course, every day that we're not operating is about a 30,000 tonnes kind of drop-off in mill throughput. So, I mean, there are a number of other plant upgrades. We're doing a bit of work around emergency feeding of ore and a few other things like that. And all those pieces as they come together will help us with both throughput and reliability and maintaining throughput through some of the maintenance activities that we do.
Operator: Your next question comes from Alex Barkley with RBC.
Alex Barkley: A follow-up on that milling rate question. Is the mill consistently able to reach 10 million tonnes per annum without softer oxide blending? And does that change after the mill upgrades that happen later this year? And as noting you've guided limited stockpile usage in '26, '27. So just trying to get an idea of what kind of milling we should expect over that 3-year outlook period.
Duncan Gibbs: Yes. Look, I mean, there's no doubt that a bit of oxide and like 5% to 10% gives us a bit of a free kick in throughput and helps with recovery and all that kind of stuff. But I mean, fairly regularly on a day-by-day basis, we see mill throughput in excess of 1,300 tonnes an hour. We're very confident that the circuit is capable over short time lines of being able to hit what we see as the rates that need to support getting up to that 10 million tonnes target. It's about consistency, including when we're performing bits of lower level maintenance in the circuit. The detail around the conveyor upgrades, effectively, we're overloading those under some operating conditions. So that gives us better operating flexibility and it should let us unlock a bit more potential out of the SAG mill once that's done.
Alex Barkley: So, in '26 and '27, have you factored in 10 million tonnes per annum? Or is that more just an internal target still at this stage?
Duncan Gibbs: Yes. I mean, we've always set it as a target. So, I mean, there's a bit of stretch in it. But I think in terms of it's a reasonable steer of what we're aiming to achieve.
Alex Barkley: One last question on the Gilmour study. That PFS had 2.2 million tonnes of processing for 5 years, I believe. So that would be a reasonable chunk of milling capacity. I know it's early days, I guess, negotiating with the JV, but would you need that milling allocation consistently over that 5-year period for the project to go ahead? Or could the mill access be a little bit more sporadic depending on what Gruyere is doing? I imagine that does have an impact on the operating efficiency, whether you can get it all through in one go and then the same for project valuation. Just an idea of what you would like to see around milling capacity for you to sort of greenlight that project?
Duncan Gibbs: Yes. So, look, the first thing I'll point out is kind of current to signing the Gruyere JV agreement. We executed what's called a regional cooperation agreement with Gold Fields. So that outlines the fundamental principles to being able to use the processing plant at Gruyere for toll treating. There will be some details on the mechanics of how that is put together and cost sharing and metal accounting and all those kinds of things, but I kind of see those details. Very clear to us that the value of Gilmour is maximized to Gold Road whenever there is surplus capacity at Gruyere. So, as I spoke to in a previous response to questions, we are very much trying to get things like Golden Highway Gilmour lined up so they're ready to go, so we can turn them on if we've got a shortage of ore feed from Gruyere. But it may be the circumstance that the best time to develop Gruyere could, for example, be in the transition from an open pit to an underground operation. So that's very much the way we're kind of strategically looking at it. As outlined, I guess, in the study, it's a relatively small open pit that goes something like 12, 18 months followed by an underground operation. And I guess conceptually, we could split those into 2 pieces if we wanted to. And I guess you can always slow down production rates if we were trying to mine at a lower rate to meet the ore gap and what have you. So, it's a pre-feasibility level study. I think they come to a pretty high standard on the resource reserve side of things, but there's a fair bit of optionality in terms of when we best develop it and we'll be looking at that from a value optimization basis to Gold Road.
Operator: Your next question comes from Daniel Morgan with Barrenjoey.
Daniel Morgan: Earlier in your presentation, you outlined you were seeking to finalize an insurance claim regarding the weather events early last year. Is that for damage that occurred to various equipment and things? Or might the scope of it also include business interruption and some profits that you might have made back of that nature?
Duncan Gibbs: Yes. Like any kind of insurance policy these days, you don't get coverage for consequential loss. So unfortunately, we don't get any recovery of lost income. What we do is really what our direct costs are; there are some damage components within that, but it also reflects things like claims for costs from contractors as an example. Obviously, that claim is still a matter of commercial negotiation. So, I'd rather not get into the details of what quantum we may get back, but we do expect it to come through in the next few. So, the negotiations are fairly well advanced. Hopefully, we close it out in this quarter. And I guess we see it's a potential sum of money that is sufficient merit and noted in the quarterly.
Daniel Morgan: And I might have just missed it earlier in the presentation, but could you just remind us of the timeline to consider the underground project specifically at Gruyere? Like when holistically might this a decision be made to FID and then first production?
Duncan Gibbs: Yes. Look, I mean, with the JV, we're still working through the mechanics of that. And clearly, the first thing to get going is really the major draw off and that draw off is likely to go over a couple of years. I think we'll probably start to do some of the early study stage work in late this year, but the details of that are still going to be scoped out and put together, but that's certainly the discussions that we're having. The high-level game plan, of course, is the open pit winds down in 2032. And first price for everybody would be to be building the rate of underground production up in advance of that such that we sustain Gruyere production as a significant contributor for both Belgrade and Gold Fields beyond 2032.
Daniel Morgan: So just on that, I mean, if I'm looking at Page 7 of the presentation, which gives you an overview of where the open pit will be over at different times. Is some of that consideration you want to get down the open pit to a level where there's an optimal point to start the decline, and we're obviously not at that point yet?
Duncan Gibbs: Yes. Look, I think all of that kind of level of looking at it's got to come. There may be some benefits to do what you're suggesting, which is to put a decline off the pit to get earlier underground access. One of the things that we'll need to look at given the scale of the operation and potentially very high material movements from a big scale underground will be an ore haulage solution. The classical things to look at would be things like conveyor declines, shafts. I'll probably take the first one rather than the second one. But we may look at entirely independent access, but all of this is to be determined through studies, Alex. Sorry, Daniel.
Operator: Your next question comes from Bradley Watson with Bell Potter Securities.
Bradley Watson: Congrats on the great quarter. First question, sort of the language has shifted a little bit. We used to talk about sort of achieving a sustainable 350,000 ounces per annum. And now perhaps the mid-range of guidance is a little bit more like 340,000. Is there some logic behind that going forward?
Duncan Gibbs: I think it's fine-tuning the words. Read too much in it.
Bradley Watson: Okay. And perhaps this is a visual trick of the presentation versus the 3-year guidance announcement. It looks to me like in the 3-year guidance announcement, the ounce production is a bit higher in FY '26. And I think you do mention top of the range about 375,000 ounces per annum. But in today's presentation, it looks as if calendar year '26 is declining relative to '25. Am I misreading that?
Duncan Gibbs: Look, the fine detail here moves around a bit from year to year. And as we update mine plans and material movement schedules and all that kind of stuff. But I think the thing that you need to be taking out of it is not the detail here. It's the strategic direction of where we're going to get to. And that's really what we're trying to flag.
Operator: Your next question comes from Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: First one, just also on the 3-year outlook yesterday. You talked to the production and stripping outlook in the release. I was just wondering now that you've done a bit of a resource update as well, if you could maybe talk to the mine grade profile over the coming years behind that production uplift and then any expectations around what that does to your costs over that period?
Duncan Gibbs: Yes. I mean, Gruyere is relatively stable grades. Of course, there is a pit stage, which is in this slide deck as well as in the guidance announcement. There is a bit of uplift in grade in the final years of the operation from Stage 7. So, if you really want to try and detail the grade profile, I'd suggest you kind of work out and work backwards from the end of mine life from Stage 7, fill the mill in reverse order and you'll get the nuances of grade. I guess we flagged for this year, grade will be a bit lower than the reserve. Part of that reflects just ore blending, part of it is just where we are in the mine position.But we're kind of playing around between kind of 1.2 numbers to 1.3 numbers and a bit of a kick in the last 1 to 2 years of the mine life.
Hugo Nicolaci: That's helpful. And then in terms of costs, I mean, do we expect just as production increases, all-in-sustaining will kind of fall just on that denominator? Or is there anything to call out in terms of cost increases beyond the stripping and tailings and other things you've called out over the next couple of years that you wish to be aware of there?
Duncan Gibbs: Yes. I mean, look, like a lot of people in the gold sector, we don't provide cost forecast for multiyear outlook. We kind of get burned by inflation things and what have you that you don't have control over. If you look at the underlying drivers, which is what we have tried to communicate within the outlook, mining volumes are going to be sitting up at a similar strip ratio over the next 3 years and then tailing off. And that is by far the biggest driver to changes in cost profile at Gruyere. And then fairly clearly, we have a bit of an extra lump of capital this year with things like the village upgrade. So, I'd anticipate the sustaining CapEx to come off a bit in the next few years. Once you get out beyond a couple of 2, 3 years out, it will depend on things like the course of underground studies and what have you, but we have to do the work to be able to determine what that looks like.
Hugo Nicolaci: Got it. And then just another one, apologies if I missed this, just coming on late, but obviously, around the De Grey acquisition. Obviously, as a matter of, you have a bit of influence of the outcome there. But in a scenario where that goes through and you get a further, call it, $800 million onto your debt-free balance sheet, how do we think about the uses of that capital, just given historically, you've talked to M&A and maybe adding more assets to the portfolio, but the current gold price environment, maybe makes finding something that's accretive, maybe a bit more challenging and FX maybe limits offshore. So, I guess how do we think about the potential uses for that capital in that scenario?
Duncan Gibbs: Yes. Look, I really don't want to get into speculating on all around because, I mean, the Northern Star offer. I think a lot of the market like you're doing is kind of banking, it's going to be done. But of course, there's other scenarios that may or may not emerge. And we don't want to be on record as indicating one position or another because simply we have got to keep all of our options open, which is what's in the best of Gold Road shareholders. Probably one thing I will call out is I have seen a bit of market commentary about if we accept the -- if and when we accept or sell out of our position, that will mean that we'll have more than $1 billion worth of cash.Probably people are missing that if we sell the shares, ultimately, we'll have quite a big tax event, and that needs to be considered in the ultimate cash balance that we may get to.
Operator: There are no further phone questions at this time. I'll now hand over for the webcast questions.
Unidentified Company Representative: I've got a few webcast questions that have come through, and the first one is from Andrew from Macquarie. And it's, will you record an uplift in investments value by an unrealized gain in the calendar year '24 results?
John Mullumby: It's John here. Thanks for the question. Yes, if you look at our statutory reporting, we recognize our investments at fair value. So that gain on De Grey primarily by the increase in the share price over the last few months will be recognized in our profit and loss, but it does sit below the line in OCI if that helps. OCI is other comprehensive income.
Unidentified Company Representative: Going back to questions relating to our investment in De Grey, touching on points already raised, Sabrina has asked, is there a possibility that the Board will declare a special dividend to shareholders from the proceeds?
Duncan Gibbs: Look, yet to be determined. And per my comments earlier, I think that's 3 steps down the track. Dividends are declared by Boards, of course. And I will flag that the ASX takes a very dim view of companies flagging potential future changes to dividends and dividend policies. So, it's really not a question I can answer, unfortunately.
Unidentified Company Representative: We got a question from Phil, and he's asking, when will drilling results for Mallina be released?
Duncan Gibbs: Look, we're planning on putting out an announcement during the course of the March quarter, which will provide an update on all of the exploration activities. So that includes stuff from Mallina, Balter, Galloway over in -- sorry, Greenvale over in Queensland, as well as where else we're doing, and we'll provide really a bit of color around what the focus of exploration is and the kind of plans for the year. So, we drilled most of the projects within that list right up to Christmas. So, we're still waiting for some of the results and obviously, the geos to do the interpretations. Once we've got all that together, then we should be able to put out an announcement around all of that.
Unidentified Company Representative: A question from -- another from Phil again. And are there any plans to increase our interest in Yandal Resources?
Duncan Gibbs: Look, I can't really comment on that. I mean, that's kind of speculation about what we may or may not do with an investment. Obviously, we obviously quite like what's going on there. I don't necessarily think that they've drilled the best target yet. And that company is actually very tightly hold if you look at the register and it very much depends on what happens with the passage of time with their exploration activities as to what we may or may not do.
Unidentified Company Representative: A question from Peter, and he's asking, 1 month into this quarter, have we been able to continue at the December quarter exit rate?
Duncan Gibbs: Look, in general terms, mining is going well. The plant is going well. So, I don't have any concerns and certainly, nothing at the level of which is material enough to be able to make any kind of public statement.
Unidentified Company Representative: Another question from Peter. With today's record gold price, has that changed our attitude to hedging? And would we be tempted to lock some in?
Duncan Gibbs: Look, I mean, very much the Gold Road Board kind of mindset is you do hedging for risk management. And look, Gold Road did some hedging in the start-up phases of Gruyere when we took on debt. And you've got to look at scenarios of Armageddon gold price and making sure that you maintain a business that is insolvent. Really, we closed out the hedge book now 3, 4 years ago, and we've remained unhedged. And I've heard lots of questions along the same kind of line every time the gold price hits a new high of whether you'll do some more hedging, and I'm very glad that we've done that.
Unidentified Company Representative: And our final question comes from Terry and he's asking, there's often a substantial difference in the price we sell our gold for as compared to what the Perth Mint appears to be offering their price. Is there any explanation for this?
John Mullumby: Thanks for the question. I can confirm that we sell at spot weekly through the Perth Mint and the price we realize is the market rate at the time. So, maybe we're confusing the average realized gold price for the quarter that we published versus the spot price environment. Maybe it's difference you're referring to, but I can confirm that we are optimized weekly at the spot price environment.
Unidentified Company Representative: That completes the questions.
Duncan Gibbs: Okay. So, I think that concludes today's presentation. So, thanks for everybody joining us on the call and I think some good questions today, some good engagement with shareholders. So, I'd like to bring the call to a close, and thank you very much for your continued interest and support.